Operator: Thank you for joining Gold Resource Corporation’s Second Quarter 2015 Conference Call. Mr. Jason Reid, CEO, will be hosting today’s call. Following Mr. Reed’s opening remarks, there will be a question-and-answer period. As a reminder, today’s call is being recorded. Please go ahead, Mr. Reid.
Jason Reid: Thank you. Good morning everyone and thank you for joining Gold Resource Corporation’s 2015 second quarter conference call. Joining me on the call today for the Q&A portion will be Mr. John Labate, our Chief Financial Officer. Let me remind everyone that certain statements made on this call are not historical facts and are considered forward-looking statements. These statements are subject to numerous risks and uncertainties as described in our Annual Report on Form 10-K and other SEC filings, which could cause our actual results to differ materially from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued yesterday, along with comments on this call are made only as of today, August 6, 2015, and we undertake no obligation to publicly update any of these forward-looking statements as actual events unfold. You can find a reconciliation of non-GAAP financial measures referred to in our remarks in our Form 10-K filed with the SEC for the year ended December 31, 2014. We faced many challenges in the second quarter of 2015 including slower mine development and an unsanctioned work stoppage at our El Aguila project, which were reflected in our second quarter production results that were below our targets. Having said that, and in spite of the continued fall in metal market prices, we did show a modest profit and earnings of $0.01 per share for the quarter. I will walk you through the second quarter challenges and where we stand today. This includes recovering from the ancillary affects of the work stoppage as well as improved mine development thus far in the third quarter. But first let’s breakdown the Q2 production numbers. Second quarter production from the Arista Mine totaled 14,858 ounces of precious metal gold equivalent at a realized 72:1 silver-to-gold ratio. We milled an average of 1,127 tonnes per day or 102,522 total milled tonnes for the quarter. For those tonnes, we produced 6,788 ounces of gold, 580,326 ounces of silver, 293 tonnes of copper, 943 tonnes of lead and 3,038 tonnes of zinc before payable metal deductions. Our total cash cost after base metal byproduct credits per precious metal gold equivalent ounce sold and including royalties totaled $533 per ounce for the quarter compared to $438 per ounce for the Q2 2014. Our all-in sustaining cash cost per ounce, a non-GAAP measure, for Q2, totaled $1,196 and our total all-in cost per ounce sold totaled $1,394. Higher quarterly costs were a function of lower production totals. During the quarter, we sold 7,096 ounces of gold and 538,848 ounces of silver, 268 tonnes of copper, 907 tonnes of lead and 2,559 tonnes of zinc. Average Arista Mine grades and recoveries for Q2 included; gold grade at 2.25 grams per tonne with 92% recovery; silver grade at 189 grams per tonne with 93% recovery; copper grade at 0.35% with 82% recovery; lead grade at 1.24% with 74% recovery; and a zinc grade at 3.59% with an 82% recovery. We generated revenues, our revenues are net of smelter charges, of $23.3 million. We generated mine gross profit of $6.9 million and net income of $812,000 or $0.01 per share. Our Q2 average metal prices realized were $1,201 per ounce gold and $16.70 per ounce silver. We distributed $1.6 million in dividends to shareholders or $0.03 per share during the quarter. Cash and cash equivalents at June 30, 2015, totaled $21 million and we had receivables of $688,000. The company remained debt free, except for short-term capital equipment leases, of which we paid down $373 during the quarter with the remaining total of $1.6 million as of June 30, 2015. The company paid $2.1 million in taxes during the second quarter. Turning to operations, during the quarter the primary challenge we struggled within the Arista Mine was water inflow management which slowed down our mine development and ultimately impacted production totals. To compensate for slower mine development in some areas, we mined outside the budgeted mine plan in certain lower grade areas for mill feed tonnage. To address the water management challenges, during the quarter, we installed and recently finished the construction of a larger 12-inch diameter main water line running to the surface to increase capacity of our primary pump station number one on 11.5 levels. The new nominal capacity of this primary pump station number one is now rated at 2,500 gallons per minute, up from the previous 1,200 gallons per minute. Two secondary pump stations on levels 15 and 18, respectively, pump water to the primary number one station and out to the surface. Another primary pump station, number two, on level 20 has been designed and the rock work is about to commence for its construction with the goal to complete construction by year end. This station should allow for more efficient water management as well as to prepare for the future water management needs we expect to switch back as we continue to develop the mine in that direction. We continued to utilize SRK Consulting during the second quarter as we did in the first quarter to help evaluate and plan for our water management needs. As it stands today, we have a much better handle on water inflow management and development has improved thus far during the third quarter. During the second quarter, stoping ore both long haul and cut and fill represented approximately 53% of total mine production while the balance, the 47% being mine development order. We actively mined 8 to 10 veins with 15 to 20 working phases. At the end of the quarter, the main ramp reached level 20 with the internal ramp reaching level 19. Complicating our production issues during the quarter, the company also encountered a protest and a legal work stoppage by approximately 100 of our 300 strong unionized work force. The demonstration was not sanctioned by the union and it was positive for the company that two-thirds of the work force as well as none of our non-unionized work force participated in the protest. Because the demonstration was unsanctioned by the union, it was technically not a strike. But the primary impact of this protest and stoppage was felt over about a week’s time, ancillary affects lasted a bit longer. The protest stand from a much smaller annual bonus and less annual entitlements due to market conditions, falling metal prices and less profitability in the industry. The company and the union are working together and have taken measures to try to limit a similar event from taking place. At this time, we believe the issue and its ancillary affects are behind us. We have a solid history of positive relationships with our work force and are committed to improve our relationships from a position of mutual respect. Turning to exploration, a total of three exploration drills were active during the quarter at the three of the company’s six properties with two surface drills and one underground drill. Second quarter exploration had a multipronged approached of testing three of our properties. This included testing the extensions and the lineation of the veins at our Alta Gracia property, testing the extensions of the veins in our Las Margaritas property, expansion and delineation of our El Aguila project’s high grade gold open pit with northwest extensions to the pits mineralization as well as expanding the switchback mineralization on the El Aguila project. Exploration efforts were successful on all fronts. Our Alta Gracia property which is located approximately 16 kilometers northwest of the company’s EL Aguila projects producing Arista Mine continues to return high grade results. The Alta Gracia’s Mirador vein returned 4.01 meters grading 2.52 grams per tonne gold and 595 grams per ton silver. A second Mirador vein intercept in the hanging wall returned 2.12 meters grading 1.74 grams per ton gold and 493 grams per ton silver. Additional high grade results are noted in last week’s exploration update press release. Definition drilling for mine planning, metallurgical testing, community agreements and environmental permitting are underway to evaluate mining the mineralized material identified at Alta Gracia. The goal is to access the mineralization through existing historic addicts and mine workings, and mine and truck mineralization to the Aguila mill’s existing agitated leach circuit with a targeted commencement in 2016. I will speak more on this later in the call. Drilling during the quarter also took place at our Las Margaritas property, which returned numerous high-grade intercepts including the Tapada vein returning 2.15 meters grading 1.15 grams per tonne gold and 599 grams per tonne sliver. Again, I will refer you to last week’s exploration update press release for more detail if you have not already done so. Additionally, exploration focused on a potential expansion to the Northwest extension of the Aguila open pit. Numerous recent drill results also included 3.87 meters of 8.54 grams per tonne gold and 3.6 meters of 6 grams per tonne gold are encouraging and if enough of this high-grade mineralization is identified, we are considering and evaluating the possibility to mine this on a small-scale in the future. Last week’s exploration press release has tables and maps of the open pit extension. In the interest of time on this call, I will refer listeners to that PR for more detail on these drill results. We also remain focused on the Switchback at our Aguila project and drill results during the second quarter continued to impress us. During the quarter, we intercepted one of the best drill holes returned to-date of 15.64 meters of 2.85 grams gold, 169 grams silver, 0.52% copper, 1.6% lead, and 10.16% zinc. I refer you to the June 25, 2015 press release for more information on this and other Switchback results. I also encourage you to stay tuned for more exciting news on Switchback in the near future. We had great drill results at Switchback but much of our exploration efforts during the quarter focused on building a critical mass from which to justify commencing operations at our Aguila mill agitated leach circuit. We advanced that effort tremendous during the quarter and are targeting to start the agitated leach circuit during the 2016 year with mill feed from Alta Gracia mineralization and the remaining ore stockpiles from the open pit. The goal is to then bring on Las Margaritas and ore, the open pit mineralized extensions as additional mill feed down the road. We envision numerous mineralization drop points to feed the agitated leach circuit in the future. We continue to develop the access ramp from Arista towards Switchback during the quarter. In addition to advancing the ramp by 112 meters, a ventilation raise borer was started during the quarter and was recently completed to allow for additional air circulation. At the end of the quarter, we were approximately 200 meters from the mineralized Switchback veins. Our goal, capital and equipment availability permitting is reach to the top of the Switchback mineralization as we know it by year-end. We are excited to reach the Switchback on several fronts including exploration but also to touch the mineral with development to better understand the best way to develop it for mining. The Switchback is our future, and we continue to develop towards its high-grade polymetallic veins. As bear market continues in the metal space, we are seeing an increase in M&A opportunities, we have come close on a few deals but have yet to be able to check all the boxes we need for an accretive deal. We continue to look globally for additional property opportunities which we limit to mining friendly jurisdictions and are optimistic we may find opportunities we can capitalize on. To wrap up the second quarter overview, we had challenges and we had successes. Operational challenges have been mitigated and operations are returning to normal. We also had many exploration successes, of which, we are excited to be following our bond with additional work. With that I would like to thank everyone for their time today on this conference call. Let’s move to the question-and-answer portion of the call. In an effort to efficiently address the Q&A portion of the call without wasting anyone’s time and since we do not screen, filter or limit who can call in, any distracting or antagonistic calls will be terminated and I will simply move on to the next productive caller’s question. I would again like to welcome our CFO Mr. John Labate and open up the lines for our Q&A. Operator please take our first caller if there is one.
Operator: Thank you, sir. [Operator Instructions] We will now take our first question. Please go ahead, your line is open.
Unidentified Analyst: Hello Mr. Reid, Mark Smith [ph], a shareholder. I think you answered my question but I’d like you to comment on the grade, I know that you -- those water management that drove that down because you had to take from less advantageous places but do you see that grade coming back, that’s my first question in the near quarter. And then, a little update on the electricity project.
Jason Reid: Okay, Mark thank you for joining the call and thanks for your questions. First of all, we mined off plan as I mentioned through a portion of the quarter. We did that in response to the development challenges and when you mine off plan, you’re obviously not mining your targeted grade. So we do expect to grade to go back to what we estimate it to be. But again, once you’re off plan, you’re not going to hit your targeted grade.
Unidentified Analyst: Yeah, that’s one of the things that really stood out to me that grade differential and the production that represented so, that’s good to know and good to know that you got the water management under control again.
Jason Reid: We fully expect to have water and we’re very cautious in our development. At some point still, you take on water where you don’t expect and that happened during the quarter and it slowed our mine development down, so we have to focus on getting that water out. I did walk you through all the advancements we’ve made in increasing our water capacity as well as what we’re doing for future because we all want to be at Switchback by year-end, hopefully we can do that and I want to be in the position to be pumping that water out so we can be mining it early next year hopefully. So yeah, we’re definitely and we work with groups like SRK, well respected consulting engineering firm to help us with that. So, we continue to focus on that but it did slow us down, it forced us to mine areas of the mine we didn’t target and when you do that, yeah, you’re grade is going to fluctuate. Now, we’ve seen similar things in the past, so, I mean it is what it is, it was a challenging quarter. So turning to your second question, which was in regard to the power right and how we’re doing with that program. I believe most, probably anybody on this call is aware, we’re trying to eventually get on the power grid and we’ve done numerous analyses on this and we believe we can save a substantial amount of money by hooking to the grid. We are working with the Federal Power Commission in getting all the i's dotted t's crossed to be in the position to move that project forward and they’re working with us quite well. It’s on their timeframe, so I can’t give you any timeframe and I now everybody ask that question all the time, we’re optimistic that by year-end, we’ll well into the early stages of that construction but again I can’t guarantee that by any means because this is a, in large part under their timeframe but I would hope next year, maybe by the year-end, we’ll be on the power grid that’s the goal. And that being the case, I think we could safe a substantial amount of money. Like I mentioned at the Annual Meeting, it could be in the order of magnitude of millions, maybe even 4 million that would be huge for us.
Unidentified Analyst: So at this point, you’re just doing, you’ve done everything you can and it is buried in the bureaucracy so to speak.
Jason Reid: It’s not too buried but yeah, I mean you can look it at that way. We’re getting to a point which we’re going to start construction but I don’t want to give you the date on that because I don’t know that date. We’re getting close, we’re getting close, it’s not just in paperwork and we’re waiting for approvals, they are working with us. And to give you a little more color on this, the power line that comes from the nearest transfer station has to cross numerous different Ejidos’ properties, Ejidos that we don’t even deal with on a regular basis, so they’ve gone in and have gotten approvals from all these groups on our behalf and we’re getting to the point in which we’re going to start compensating for that line going through the property, so we’re getting closer. That’s for sure.
Unidentified Analyst: Good, good. Thank you.
Jason Reid: Thanks, Mark.
Operator: We will move to our next question. Please go ahead. Your line is open.
Unidentified Analyst: Hello?
Jason Reid: Hello, whom am I speaking with today?
Unidentified Analyst: Hi, this is Michael Hambert [ph], private investor. Good morning.
Jason Reid: Michael, how are you today?
Unidentified Analyst: I’m doing okay. Several questions. One is, the book value of the Company, am I calculating correct, is it right around $1.75 currently?
Jason Reid: To be honest, I can’t give you, I don’t have the book value of this Company on top of my head. So, I don’t know.
Unidentified Analyst: Okay. On another note, the price of silver, it’s the most sensitive thing to the Company at this juncture with the amount of silver the Company is producing. At what point or at what dollar pricing silver would dividend be in jeopardy?
Jason Reid: That’s a good question. The board always evaluates the dividend at least once a quarter if not on a more regular basis and at some point if the -- we can’t keep our costs low enough and keep the dividend going, we may cut it, but -- and we’ve always said that. Having said that, I don’t think anybody could have believed we paid a dividend for as many years as we’ve had, especially during the last three years of this bear market of continually falling silver prices. So, I think my point in saying that is our commitment is there that if it can be done, we’ll do it, and thus far, we’re okay, but there is no guarantee, I would be clear. With the exact silver price, I can’t give you because we adjust and have been adjusting over the last several years. Metal prices fall, we adjust, we cut cost. Metal prices fall, we adjust, we cut cost. And we plan to continue to do that. At some point, there will be a breaking point so to speak and we may need to lower it or cut it for a certain amount of time. But I don’t have the answer to that, everything is moving too quickly in its influx and metal prices are quite volatile.
Unidentified Analyst: Okay. The dividend was already declared for this month or I guess you call it last month or prior month and regardless silver has been right around [indiscernible], so that’s $2 left in the average from Q2. So, it’s still seems like this -- at this price, is it comfortable dividend payment?
Jason Reid: Listen, there is so much more to the dividend than just the price of silver. It has to do with the entire operation on what CapEx spends we have in front of us. For instance, we’re going to have a CapEx spend at the electric line, we’re finishing up the tailing facility, excuse me. It will be nice not to have the cost of the tailing facility because when we finish that up in the few months but then we’re going to deploy that some of the capital to the electrical lines. So, I mean -- again, it’s -- I can’t give you a specific I think you’re driving at, because it’s very much inflection. It depends on the capital expenditures we see, taxes we have to pay, then on a production, the metal price, all that is an inflection. We just -- we evaluate on a regular basis is kind of all I can tell you. And at some point, I don’t have -- now I’m being clear, at some point, we may modify that, whether it’s a cut or eliminate it for a time being, but nobody ever thought we’d ever pay consecutive month of dividends this long. So, I think again, if it can be done, we’ll do it.
Unidentified Analyst: Certainly it’s been impressive. Now, you mentioned, you’ve come close on a couple of potential acquisitions. Are you looking in any sort of jurisdictions and with the stock being so low, you wouldn’t want to use your stock as currency because it’s so cheap in my eyes? Do you have access to lines of credit or other avenues of capital?
Jason Reid: Okay, yeah -- hello, can you hear me?
Unidentified Analyst: Hello? Yes.
Jason Reid: Yes.
Unidentified Analyst: Did you get on my question? Hello?
Operator: Yes, please go ahead.
Jason Reid: Having a little bit of problem with my phone. Can you hear me?
Unidentified Analyst: I can hear you, yes. Yeah, I can hear you. You seem to be breaking up.
Jason Reid: Hello? Hello, can you hear me?
Unidentified Analyst: Yes.
Jason Reid: I apologize. My phone -- I have some phone issue. So, if you can hear me now, I’ll go ahead and continue. As it relates to the M&A, you asked several different questions, one of which we’re only looking in mining friendly jurisdictions and those are becoming increasingly scarce. We are focused primarily on the Americas and in large part right now, we’re looking Nevada. I can’t speak any specific on the M&A because we have CAs with some groups. Obviously, this is what it is. So, that answers I think the first part of your question. The second part -- can you hear me, hello?
Unidentified Analyst: Yes, I can hear you.
Jason Reid: Okay, sorry, the second part, happen to do with access to capital for the right project and if it’s accretive, I believe we can make something work whether that’s a function of some cash, some equity, again, it have to be accretive at these levels, but the time to look is right now where most of the M&A happens is when metal prices are at their all-time highs and mining companies overpay for things and yes, everybody kind of tucks back in their shell at this stage in the cyclical metal market, but this is the time to look and we are looking very hard and because there is tremendous number of opportunities and it’s just is what it is, we’ve got right down to the little box, we couldn’t check in and have to walk away. So, we’re continuing to look for things and as long as it’s accretive, I think we can find the money needed some way somehow as long as it was made sense.
Unidentified Analyst: That’s great. I like to hear that you can close and it didn’t fit exactly, so you walked away and who knows they might turn around in a few months and come back to you because there is a lot of pain out there for certain. Also, my last question with regard to some of the great drill results you’ve had, it’s appealing to the eye, it’s great to see the press releases and excited about for the potential there and I guess that down the road, it will be a cash cow. That being said, I see very little insider buying in stock at all really and so, I’m just curious has this been discussed, I know that there are blackout periods with regard to quarterly announcements and what have you and certainly some of the deals that you’ve been looking at but have this been discussed with some of the board members starting with cumulative shares at these levels?
Jason Reid: Yeah, what do you mean discussed among the board on whether insider should be buying or not?
Unidentified Analyst: Yeah, whether or not --
Jason Reid: You can look back over the past couple of years, I bought a bunch at $16. We’ve bought on the way down. We always get that push back, why aren’t you buying, why aren’t you always in there buying. You’re right, we’re under blackout periods and we have been buying. That’s kind of just is what it is. As it relates to the board though and buying back shares with Company’s treasury money, we’ve done that in the past, it didn’t really work, metal prices kept falling and we didn’t call the time on that. Right now, we’d rather hold our capital for a potential deal; tend to buy back shares right now. So, could we potentially sure if all of the sudden we have no options out there in front of us at the time, we might buy back shares [00:28:56] we’re so focused on trying to find an opportunity right now. That’s where the capital needs to go on the corporate side. On individual side, everybody is under their own situation, but with all the blackout stage we have anyway, it makes it difficult too.
Unidentified Analyst: Certainly, but definitely it instilled a lot of confidence in marketplace considering not a lot of companies are doing and they’re cutting dividends, you simply be the anomaly where you’re maintaining the dividend and you continue to produce some great progress out. So, it’d be welcome turn I think in the marketplace and could be -- you could see the stock jump quite a bit. All right, well, thanks so much for taking my questions.
Jason Reid: I appreciate it, thanks for calling.
Operator: We will now move to our next question, please go ahead. Your line is open.
Unidentified Shareholder: Good morning, Jason.
Jason Reid: Good morning, who is this?
Unidentified Shareholder: This is [indiscernible], shareholder from way back.
Jason Reid: Hi, Jack.
Unidentified Analyst: I am interested in your labor situation, if I read correctly, in your annual report, if you contracted all of your labor, do you find that it gives you enough control over your labor union situation that you have got an intermediary there that you have to work with?
Jason Reid: That’s a good question. As far as, it doesn’t affect our control, in fact we contracted it out. But the biggest issue is the ability to work with union, union rights take precedence in Mexico and we have to work with the union whether we want to or not and what we wanted – just to give you some facts around that, this is important. Early on, we didn’t want a mining union to come interrupt, they go plant their flag and they say, your union have to get with us. So we worked with local businessmen, local people to create their own union that looks out for the interest of the local communities and then they had passed themselves as the second largest most powerful union in Mexico. And in doing so, right away we aligned our interest -- with some of the union’s interest as it relates to keeping jobs locally and aim for the benefit of the company and the local population. That’s what we always had to focus on as our relationship with the union. This issue that has transpired how to deal with smaller group of people who said, we are going to protest and it wasn’t sanctioned by this union. That kind thing of happens. It is what it is, but it’s often hard to explain somebody who doesn’t follow economics, who doesn’t follow the metal price movements on why they less entitlements, they are seeing less right now. And that was impetus for the situation. We have always had to record to have a good relationship with our union and we will continue to do so depending on perspective. We now go to conferences, we ought to get question from our industry peers as to how do you work in Oaxaca, Mexico, that’s one of the most difficult places to operate in. And I love that question, because it’s – it underscores the fact that we treat everybody with respect and that’s how you’re able to operate there. So I don’t believe the fact we have contracted out to work as far as anything to do with our ability or not to manage that situation. It all stems from our relationship of the union, but more importantly with everybody’s respect.
Unidentified Analyst: Thank you, and I do appreciate the dividends. The only question – the other question is what is your estimated CapEx for your Oaxaca facility?
Jason Reid: Well, that’s one of the things we are waiting on for a final from the Federal Power Commission. However, we think it maybe – we know the order of magnitude, but we are just waiting on the final and things can vary, right. But the order of magnitude is $3 million, could be $4 million, but we are just – we haven’t nailed that down yet, but that’s the order of magnitude. I think even if we ran up into the fives, you’d still have a one year payback on that project, and so it makes a lot of sense to do it, get our capital back in one year and then lower our cost dramatically. And if we can save $3 million, $4 million a year on power, which is our second largest cost, second to manpower, we can save that. That will lower our cost dramatically. But more importantly just keep – allow us to hang on to our money through this bear market and be the ones who come out on the either side. Just one of the too many cost savings we are working on, we are also working on a different port facility, it’s closure to all our concentrates too and with a much shorter trucking distance. If we can do that as well that should lower our cost. So we continue to strive for that and then are going after both of those big projects right now.
Unidentified Analyst: Thank you, good luck.
Jason Reid: Thank you.
Operator: [Operator Instructions] We will now move to our next question, please go ahead your line is open.
Amit Ghate: Good morning. This is Amit Ghate, private investor. Just a quick question regarding the agitated leach circuit. My understanding is that it’s never been used, so I was wondering if can give us a little bit of color on how much commissioning tuning will be involved in getting it going?
Jason Reid: Right, we actually doing that right now, and there is not to be much. We will try to bring in some specials to help us when we do commission it, especially for the Morocco [ph] precipitation and sign a disrupt portion to help our team get up to speed with operating a circuit. But we are – as you just heard in the call, and seen in the press releases, we are very much gearing up to get this thing started as soon as possible and have many different draw points and that’s the primary goal that we have. I don’t believe there is going to be a whole lot of commissioning, there is just going to be whole lot of – to put it different way, the biggest thing of this would be training of people and how to operate that, there is not a lot to do to the circuit itself, because it’s always been a – it’s ready to go. So we are trying to use it.
Amit Ghate: Okay, all right, thank you.
Jason Reid: You’re welcome.
Operator: We will now move to our next question. Please state your name and ask your question.
Unknown Analyst: Hi, Jason, this is Peter Faherty, a shareholder.
Jason Reid: Hi, Peter.
Unknown Analyst: Hi, I got a question on Bill Reid and possibly David, what kind of consulting work, if they have been doing any since they retired, they have been doing for the company?
Jason Reid: David is not doing any consulting and Bill is doing a little bit, and less and less over time.
Unknown Analyst: Can you be more specific as to what areas he has been working on?
Jason Reid: In large part, Bill is looking for M&A opportunities for us and looking for properties, looking for projects.
Unknown Analyst: Excuse me, did he work on the stuff and the beta that you have picked up.
Jason Reid: Yes.
Unknown Analyst: Okay. Also I thought the agitated leach circuit hold some materials back and we are actually already using that, am I incorrect there?
Jason Reid: That is incorrect. We haven’t run the agitated leach circuit. Now, at the end of that circuit is a dore [ph] processing at the very end. We have used that, so we have used a portion of that circuit, but we have not ever commissioned the agitated leach circuit, just the dore portion of it and we actually increased the dore capacity to handle, we are able to pull off with gravity the gold on the front end, nice percentage of gold on the front end of this floatation circuit that goes straight to the dore and then we are applying dore bars with that. So that’s a little it confusing, I am glad you asked that question because we get that confusion often, but just to be clear, we have never operated the agitated leach circuit, we have only used the dore at the end.
Unknown Analyst: Also is there any problems with the security where you had some gold that we lost, some materials we lost, has that all been resolved and we are securing our deliveries and accounting now?
Jason Reid: It’s always a risk for any mining company, that’s happened all over, even in the states that we were. We have had some in the past that you know about, but we haven’t had any since, and a large part has to do with, we are using what I consider to be a far better security group. But that’s just always a growing concern for any mining company to secure the product. So, we haven't had any issues in quite a while and we don't foresee us having any issues. Could potentially happen for sure, but we are very vigilant, have a really good security group that works for a lot of big mining companies in Mexico and so they know what they are doing. And that's why we haven't had any issues.
Unidentified Analyst: Well, you briefly touched earlier, I mentioned some money was going to the tailings front, what's the status for them as far as having to expand or how long does that go on, we've got help already.
Jason Reid: Right. We've done Phase 1 and 2 of the tailings, Dan and you’ve seen that in pictures and whatnot on our webcast and in our presentations. We are just about completed with Phase 3 and Phase 3 will get us to about two more years, but then Phase 4 adds to the dam height on the Phase 3 and will take us up to about seven year more or less. So we’re well-suited, well situated to handle our tailings for the foreseeable future at this point. We’re just winding down, Dan, and closing out the construction of that. For sure, by year-end, but hopefully much sooner, we’ll be totally done and utilizing that Phase 3.
Unidentified Analyst: Phase 4, does that have to be permitted or is that?
Jason Reid: No. It's all under the same -- uses the same facility, all we’re doing is raising, bringing up the elevation of the dam for Phase 3 going into Phase 4. So and we could have just gone right in and done the Phase 4, but it's a function of, this is the rough time in the metals space and we’re trying to keep capital costs to a minimum. And so we’ve broken it in to two phases. So we just didn’t have to allocate the capital all right now to do the big dam or bringing it up in lifts and we’re saving a couple of million right now and having two years’ worth of storage and then we’ll finish it later. So it isn't managing the capital right now.
Unidentified Analyst: Thanks.
Operator: Thank you. Let's move to our next question. Please go ahead.
Unidentified Analyst: Hi, Jason. This is Paul Bomar [ph], long-time investor with the company. I had a question about the Arista and Baja veins, do you have any better understanding today of what the limits on those veins are in terms of strike and depth and so forth?
Jason Reid: Right. I mean we have definitely a better understanding of the deposits, yes, the Arista is made up of numerous veins of which we just found the Viridiana not too long ago. So I'm optimistic we’ll continue to find more veins, but to switch back is either a step out or a parallel vein system or it might be part of – the Arista might just be an extension of the Arista.
Unidentified Analyst: What about the debt of those veins. Do you have any better understanding about how deep they go?
Jason Reid: Right, these veins go very deep and some of our deepest holes, we get in to higher grade zinc for instance. So this may ultimately go down into a base metal, could be a zinc mine below, we won’t necessarily be interested in that. But we’re 600 meters down and there are still strong veins down there. So and our drill holes, not development. On strike though is more important for us to find, they -- more readily accessible and they’re having to go as deep and I believe this structural system is going to go for a long way with various issues. So I'm still very positive on the Arista itself, but at some point, we’ll find the limits of that and it will move onto the switchback. The switchback again may be part of Arista, may just be an extension of it. And if that's the case, then we’re now 500 meters to the Northwest of Arista. So it's a big system is my point and so we haven't fully defined it, but at some point, the Arista, as we know it, will come to an end or we may just reduce ultimately that it’s moving over towards the switchback.
Unidentified Analyst: Sounds good.
Jason Reid: Yeah. Thanks for the call. It's good to hear from you. It's been a while.
Unidentified Analyst: Yeah. Thanks for answering the question.
Operator: Thank you. Let’s move to our next question. Please go ahead. Your line is open.
Unidentified Analyst: Hey, guys. [indiscernible] How are you doing today?
Jason Reid: Good, Derek. How are you?
Unidentified Analyst: I’m good. Hey, my question is your smelter contract, I think there is a lot of misconception in to the marketplace, regarding the way that you report production versus sold and there is that reach that I saw where people are looking for – they see a gap between your production numbers and your sales numbers and I know you guys footnote it, but would you be able to provide any more color to us regarding those contracts to help clear up from these misconceptions?
Jason Reid: Right, I think it's a great question, Derek. We get it a lot and people say, you say you produce X and then you are sold ultimately and your revenues comes from Y and that's never equal on a -- they never match 100%. The difference is what the smelter charge is. We have to pay the smelter, we have to pay -- we don’t sell directly to smelter, we sell to a buyer, but their cut is the difference, the long and short of it. I mean, that’s the easiest way to explain that. Yes. We produce X and we sell Y, there is a differential, that’s their piece. And I mean generally speaking, it’s about 9% to 10%. That's why we wanted to move to pull a dore because the charge for some of the concentrates is about 9% to 10%. This charge for selling a dore is about 1%. So to sell dore.
John Labate: I'm with you on that and I've calculated [indiscernible] It’s just taken off the copy of your revenue. So a lot of people look for that missing number and it’s a charge, and the whole silver industry operates that way with some concentrate -- without the byproduct. So okay, well, good, hopefully, you get things on track regarding the water issues and looking forward to good things.
Unidentified Analyst: Alright. Well, hey, I appreciate the call.
Operator: Thank you. We will now take our last question in the queue. Please go ahead. Your line is open.
Unidentified Analyst: Hi. This is the follow-up. I asked a question earlier. This is Michael [ph], Private investor, current investor and my question is with regard to security and insurance, I know that McEwen had 7,000 ounces of gold stone a few months ago, you spoke about your security crew and how they work for a lot of big firms. Aside from having the security, is there a protocol with regard to the command that you use or could talk about and the second part is are you insured for any potential thefts?
Jason Reid: Right. I'm not going to talk about the first part. You got to figure that the people are trying to steal from you are potentially listening. So, but is there –
Unidentified Analyst: That’s a good answer. That’s the answer I like.
Jason Reid: Of course, we have protocols, that’s all I’m going to say on that. We have plenty of protocols to limit that potential of happening. What was the second part? Insurance. We have struggled to get compensated from our insurance on this and that we still continue to fight them on it and ultimately I hope we see something from it, but yeah, we haven't seen compensation for that yet from insurance.
Unidentified Analyst: Interesting. I know McEwen actually was able to get almost –
Jason Reid: I know, I read that. My immediate kneejerk reaction is I need to call him and get on the same and I probably should do that. But no, insurance is one of those things, they're happy to take your money doing and it’s time to calling there.
Unidentified Analyst: Yes. And then your premiums go up anyway. So, great. Okay.
Jason Reid: Okay, well. With that and I will close the call. Thank you everybody for your time and we will talk to you next quarter. Thanks.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may now disconnect.